Operator: Greetings, and welcome to The Brink’s Company’s First Quarter 2012 Earnings Call. Brink’s issued a press release on its first quarter results this morning. The company also filed an 8-K that includes the release and the slides that will be used in today’s call. For those of you listening by phone, the release and slides are available on the company’s website at Brink’s.
 [Operator Instructions] As a reminder, this conference is being recorded.
 I would now like to turn the call over to Mr. Cunningham. Please go ahead, sir. 
Edward Cunningham: Okay. Thank you, Denise. I’ll read the company’s Safe Harbor statement now. This call and the Q&A session contain forward-looking statements. Actual results could differ materially from projected or estimated results. Information regarding factors that could cause such differences is available in today’s press release and in the company’s most recent SEC filings.
 Information discussed on this call is representative as of today only, and Brink’s assumes no obligation to update any forward-looking statements. The call is copyrighted and may not be used without written permission from Brink’s.
 As most of you are aware, we report results on both a GAAP and non-GAAP basis. Non-GAAP results exclude certain items related to U.S. retirement expenses, income taxes, asset acquisitions and dispositions. Non-GAAP results also adjust the tax rate to the midpoint of our full-year non-GAAP estimated range of 37% to 40%. Summary reconciliation of non-GAAP to GAAP EPS is provided on page 2 of the release and more detailed reconciliations are provided on page 10 of the release and as an Appendix to the slides that we’re using today.
 Our comments today will focus primarily on non-GAAP results, which we believe make it easier for investors to assess operating performance between periods. Non-GAAP earnings were $0.58 per share on revenue growth of 6%. Organic revenue growth, which excludes the negative currency translation impact, was 9%. Segment margin was 7.2%. Improved results were driven by continued strong growth in Latin America. Both Tom and Joe will discuss regional performance and our improved outlook for the full year.
 Please note that page 7 of the press release provides a summary of selected results and outlook items that should help those of you who wish to forecast our results in more detail. It includes our guidance on revenue and segment margin, non-segment expense, interest expense, tax rate, non-controlling interest, capital expenditures, capital leases, and depreciation and amortization.
 I’ll now turn the call over to Tom. 
Thomas Schievelbein: Thanks, Ed. Good morning, everyone, and thank you for joining our call this morning. My goal today is to update you on the changes that are taking place at Brink’s. These include a renewed focus on business processes, how we plan to drive productivity, and CEO succession. I’ll also provide a strategic update, and then Joe will spend some time on the details of the quarter.
 So speaking of the quarter, results were very encouraging. Latin America delivered broad-based gains across the region, including continued improvement in Mexico. Europe and North America are still managing through very difficult market conditions, but each achieved a slight improvement in profit margin over the prior year.
 We are keenly aware that one quarter does not a year make, but we’re off to a good start and are more confident about 2012 results. Our outlook for annual organic revenue growth remains in the 5% to 8% range, but we now expect our full year segment margin to be about 7%, which is an increase from our prior range of 6.5% to 7%. We have a number of opportunities to increase value for our shareholders, and that’s what I want to talk about this morning.
 Repeating what’s in the press release, I want to look forward and talk about our plans for continued improvement in both the short-term and long-term results. I’ll start with an update on the CEO search process, which is nearing its conclusion.
 We’ve narrowed the search to a strong group of internal and external candidates, and as we have stated before, we expect to make an announcement by the end of June. The only thing I’ll add is that I’m confident that our CEO will support the strategy we have in place, which is to maximize profits in North America and Europe, continue to invest in emerging markets like Latin America, and to grow high-value services.
 The earnings growth we reported today was driven by another outstanding performance in Latin America, which represents 40% of revenue and is clearly our fastest growing region. Profits were especially strong in Mexico, Venezuela, Argentina and Brazil. These results demonstrate the power of internal productivity and efficiency efforts, and combined with positive market conditions. Latin American markets are cash-intensive and our customers value the security services we provide. In other words, the price and volume dynamics are more attractive than in developed markets like Europe and North America.
 We are continuing to invest in Latin America and in other emerging markets with similar attributes, the key component of our growth strategy. Most recent example is Mexico, which we acquired at the end of 2010. Mexico had a slight loss in last year’s first quarter and improved steadily throughout 2011 and in this year’s first quarter. We do not expect substantial year-over-year profit growth in 2012, as we execute on additional cost-out and productivity efforts. But we do expect accelerated profits in 2013 and beyond, with margins reaching at least 10% by the end of 2015.
 Switching to North America, first quarter profit was up slightly on flat revenue. Market conditions have not improved, and we expect continued pressure on price and volume. Good news is that the margin rate improvement - the margin rate improved both sequentially and versus the year ago quarter. As I said in our call in February, it was critical to halt the downward slide in profits, and we believe that we’ve done so. We’ve reduced costs and invested in productivity, and will continue to do so.
 We believe we can increase the North American margin from 3.6% in 2011 to the 4.5% to 5.5% range in 2012, with similar growth in 2013. Our goal is to return to the 6% to 7% margin range in North America over the next 2 to 3 years, and this assumes no improvement in the competitive or economic environment. It’s based instead on continuing cost reductions and productivity improvements. If market and economic conditions improve, we’ll view it as a welcome tailwind to our internal actions.
 Europe, profits improved slightly, but it will take a while before we see significantly better results. Each country has its own set of issues and opportunities, and restructuring is more difficult to implement. As said in the previous call, we’re looking at our entire portfolio of countries around the world. If we’re not generating a sufficient return in a given market, it’s management’s job to address the problems, we will do so.
 In the meantime, we are being much more aggressive in reducing costs and improving productivity. In Germany, for example, we are executing a significant business realignment that will consolidate operations and enable us to strengthen service in selective regional markets. While this is not the final answer, it’s an example of our acceleration of efforts to improve results in Europe. We have reviewed our internal processes and have instituted more financially rigorous review of our capital spending. Joe will provide you with more details on our CapEx, but we are definitely raising the bar in terms of how we will determine the appropriate level and expected return for our capital investments.
 Finally, there is one additional item that I’d like to discuss before turning it over to Joe, and it’s an important one for all shareholders. By now, I hope that you can see that there are a lot of changes being made here at Brink’s, and there is more to come. Among the most important is executive compensation and how incentive compensation is being structured by our compensation and benefits committee.
 Simply put, if we meet or exceed our preset profit goals, management will be rewarded accordingly. If we do not meet these goals, executive pay will be reduced. Details of our compensation proposal are in our proxy statements, which also includes a proposal to re-elect 4 directors for another term on our board. Our annual meeting will be held to consider these and other proposals on May 4, and I strongly urge all shareholders to vote in favor of all proposals.
 I’ve now completed my first full quarter as the interim CEO. The last few months have reinforced what I believed when I joined the board 3 years ago. Brink’s is truly the best operator in the industry, we have the premier brand, and executing the strategy we have in place will create value for our shareholders. We will continue to invest in emerging markets and high-value services, to re-accelerate efforts to maximize profits in North America and Europe. We expect to meet the annual revenue and segment rate outlook that we gave for 2012. Our long-term goal is to achieve a 10% segment margin by the end of 2015. I assure you that our focus is on execution. We expect to demonstrate additional progress this year.
 Okay. Joe is up next, and then we’re going to open it up for questions. Joe? 
Joseph Dziedzic: Thanks, Tom, and good morning, everyone. I’ll start with a brief summary of first quarter results. Revenue grew 6% in total and 9% on an organic basis, due primarily to strong organic growth in Latin America that was partially offset by an unfavorable currency impact of 3%. Segment operating profit improved by $17 million, due primarily to Latin America. Earnings rose 49% to $0.58 per share. The increase in earnings per share was driven entirely by the higher segment profit, an improvement of $0.22 per share.
 Non-controlling interest expense increased by $0.04 per share from profit growth in Venezuela and Colombia, which are approximately 60% owned by Brink’s. Non-segment and interest expense were relatively flat year-over-year, and the tax rate was 39% in both periods. As we look forward to the rest of the year, we do not anticipate any significant headwinds from these items. We provided a full year outlook for these and other items in the earnings release, which shows relatively flat non-segment and interest expense, an increase in non-controlling interest, and a tax rate between 37% and 40%.
 Now let’s look at total segment results. Organic revenue growth was 9%, similar to the growth rate we had before the 2008 recession. Segment operating profit increased by $17 million, or 32%, versus 2011. The margin rate improved from 5.8% to 7.2%. This increase was driven by broad improvement across Latin America and slight margin growth in Europe and in North America.
 Before today, our full year margin rate guidance was in a range between 6.5% and 7%. Now expect it to come in around 7%. We expect organic revenue growth to remain in the 5% to 8% range. We also anticipate 3% to 5% of downward pressure on revenue from currency. Global currency pressure also is estimated to affect segment operating margin profit in 2012 versus 2011 by somewhere between $10 million and $15 million due to a stronger U.S. dollar.
 Our assumptions behind raising the annual margin rate include continued strength in Latin America and modestly better results in Europe. We continue to expect North America profit to be in the 4.5% to 5.5% range.
 North America revenue trend is expected to remain flat, as it has been for the past 3 years, and we do not expect to see revenue growth for the foreseeable future in the U.S. Last year, we took action to reduce our branch cost structure and to streamline operations to address the decline in volume and improved productivity. Took additional action earlier this year at the regional and headquarters level. These actions should deliver a North America margin rate between 4.5% and 5.5%. We’re confident that we can achieve the low-end of the range with the actions we are taking. Hitting the high-end of the range will likely require some tailwind from the economy and/or the market environment.
 International segment revenues grew 12% organically on strong growth throughout Latin America. Operating profit increased 37% from organic growth offset slightly by unfavorable currency rates. Our Mexico operations had a margin rate of 2.6% in 2011, continued to improve. As we said on our last call, we do not expect significant margin growth in Mexico during 2012, given our plans to continue restructuring the business, position it for significant margin expansion in the 2013 to 2015 time period.
 We said from the start that our goal is at least 10% margin by 2015, and we feel this is very achievable. In the first quarter, Mexico had a strong improvement in profit, as we did not incur as much restructuring costs as expected. We plan to execute more actions in the remainder of the year to improve service and productivity, which will largely offset the underlying operational improvement in the business. These actions will position the business for accelerated margin expansion in 2013 and beyond.
 2012, we expect international operations to deliver another year of strong organic revenue growth. However, we expect negative pressure on revenue of 4% to 6% from currency. We expect that 2012 operating profit of 7% to 8% from international operations, as Latin America growth more than offsets relatively flat growth in the Europe region.
 Cash flow from operating activities, excluding customer obligations and discontinued operations noted on Slide 13, was $2 million compared to $3 million last year. The first quarter is generally the lowest quarter of the year due to beginning of the year payments for several annual items. Changing cash flow versus last year was driven by an increase of $16 million in pension payments, including a pension payment to our former CEO and contributions to our international plans, and an increase in working capital, partially offset by increased operating profit.
 Capital expenditures and capital leases declined by $4 million versus last year, as we increased efforts to reduce maintenance capital spending through efficiency projects and allocated more of our spending to growth and productivity initiatives. The North America region increased CapEx by $2 million versus last year, which was driven entirely by our Canadian Cash Logistics business and Threshold, our ATM managed services business. The U.S. business CapEx was flat compared to last year, but we reduced spending on maintenance CapEx and increased the spending on productivity initiatives and CompuSafe.
 For the full year, we will spend less in North America than we did in 2011. The international segment CapEx spend decreased by $6 million in the first quarter due to the timing of a number of growth investments and the delivery timing of armored vehicles. The net debt increased from $232 million at the end of 2011 to $285 million at the end of the first quarter from an acquisition in France and higher working capital, consistent with our prior years.
 In early February, we announced our intention to make stock contributions to our U.S. pension plan during 2012. We made a $9 million stock contribution to the U.S. pension plan in March, and have another $22 million to contribute in the remainder of 2012. We made the decision to use stock due to the high cost of repatriating international earnings due to our lack of U.S. taxable earnings. We will continue to explore alternative methods of funding the U.S. pension plan, including reducing capital expenditures in the U.S., improving U.S. profitability and identifying tax efficient methods to repatriate international cash flow to the U.S. and generate U.S.-based cash flow that can be utilized to fund the pension plan.
 We still believe incurring significant debt in the U.S. to fund the pension is not an efficient use of capital, given our inability to realize a cash tax deduction in the U.S. As we make progress on the alternatives, we will communicate with shareholders. We will continue to focus on efficiently deploying capital investments, maintain the level of safety and security that Brink’s is known for, while reallocating capital to focus on growth and productivity efforts.
 As Tom noted, we’re off to a good start in 2012 and have raised our margin rate guidance. We are not counting on any improvement in the external environment or market conditions. Our plan is to execute on cost structure and productivity improvements in North America, Europe and Mexico. Latin America and our global services business should continue to be important growth drivers. As we move through the year, we’ll look for opportunities to reduce capital expenditures.
 In summary, we expect organic revenue growth of 5% to 8% and a segment margin rate of approximately 7%. We believe North America will expand margins to 4.5% to 5.5%. Europe profits should also improve slightly as we address underperforming countries in that region. And Latin America should continue its strong growth, as we position Mexico for accelerated margin expansion in 2013 and beyond. We will continue to take the necessary steps to create value for our customers, employees and shareholders. Denise, let’s open it up for questions. 
Operator: We will now begin the question-and-answer session. [Operator Instructions] We have Clint Fendley. 
Clint Fendley: If you could help me understand how much further benefit we should expect from the restructuring that you guys have done in North America? 
Thomas Schievelbein: I’m Tom Schievelbein. I’m not exactly sure I got the question, but the - what we’ve talked about is the revenue being flat on the top line and the margin rate being at the 4.5% to 5.5% range. 
Clint Fendley: Right. And you also -- I think as we discussed in the last call, you had made some reductions in head count there at the Dallas headquarters. I wondered if all of those -- has all of that played out? I mean, have we seen all the actions that you’ve taken impact the numbers here, or should we expect some more benefit in Q2 and beyond? 
Thomas Schievelbein: I mean, a lot of the actions we’re taking were taken during the first quarter. So we had some impact from those, we haven’t seen at all. It will start to happen in the second quarter, but really kick in for the third and the fourth quarters. 
Clint Fendley: Okay. That’s helpful. And, Tom, I also wondered your comments on executive compensation, I’m assuming that this means that the alignment will be with the 2015 plan for growth that you guys have had as long-term targets for your business. Is that correct? 
Thomas Schievelbein: The specific thing in terms of the annual bonus is aligned with the year’s plan, which is also obviously part of the path of 2015, but that year is planned. The number that is there for that bonus, which will be a straight mathematical calculation, is in line with what we’re providing to the shareholders today. 
Clint Fendley: Okay. And then on Mexico, I heard you margins of at least 10% by 2015, I guess when I look -- it looks like you did have some severance charges there in the quarter. I wondered if that changed at all your outlook for the performance for Mexico for this year. 
Thomas Schievelbein: No. I mean, what we’ve basically said is Mexico had a great quarter. But going forward -- I think in the last call, we talked about Mexico being about the level it was last year, which is about 2.6%, something like that. So they were a little bit above that, but we’ve planned on a number of actions so that we can get it ready and get it in shape for future growth. With that, I’m going to turn it over to Joe and he can provide some more technicolor on that question of Mexico. 
Joseph Dziedzic: So Mexico, there is a number of actions that we’re gearing up to take to improve service and productivity. There is a lot of work to be done there. We’ve talked a lot about this. We took a number of actions last year. The underlying business continues to improve, and in the first quarter that fell through to income, because the timing of those actions didn’t occur. We did not incur much expense in the - as much expense in the first quarter as we had anticipated.
 For the full year, we have every intention to continue executing the service and productivity improvements. There will be more expense in the future quarters, so for the full year we still expect Mexico to be comparable to last year’s margin, maybe slightly above last year’s 2.6%. But in the first quarter, the underlying productivity and improvement fell through to income. 
Clint Fendley: Okay. That’s helpful. And then last question here, another numbers question. I wondered the adjustments related to the U.S. retirement plans expected to be fairly consistent on a quarterly basis going forward. And I guess, I’m referring to the $10.6 million expense reconciling item here. 
Thomas Schievelbein: That sounds like a CFO question. 
Joseph Dziedzic: Yes. We’ve detailed out the expense that we expect to incur by quarter in the U.S. plan. So for the year we’re expecting $56 million worth of expense. In the first quarter, it was $17 million, so the balance is spread evenly over the second through fourth quarter. 
Operator: Our next question comes from Jamie Clement. 
James Clement: Joe, I think you touched on this perhaps briefly. Your CapEx spend for the first quarter was well below the annualized rate that you all expect. I know there is some seasonality in that, but can you help bridge us from the amount you spent up to the $240 million, $260 million range? 
Joseph Dziedzic: Well, the -- clearly, with the increased scrutiny and focus on the returns, the first quarter was less than last year, in spite of our guidance for the year that we could be anywhere from zero to $20 million higher year-over-year. And so we’re putting it through a much more difficult screen before we spend the money, and that caused the first quarter to be lower. There’ll probably be a bit of a catch-up in the second quarter as we execute some of the higher returning projects that we have approved. I’d expect to see probably second and third quarter be a little higher than normal, and then the fourth quarter will probably be lower than normal to get us back within our guidance for the year.
 We continue to be very judicious on where we spend money. If we don’t see returns in a shorter timeframe, shorter payback than what we had in the past, we won’t spend the money. But we’re going to keep investing everywhere that we have growth opportunities. The focus is on growth and productivity and driving efficiency in our maintenance CapEx. So where we will be declining is maintenance CapEx, and ideally I’d love to even spend more in the productivity and the growth, because that has a faster and a higher return. 
James Clement: Okay. All right. Update on CompuSafe, if you could? 
Joseph Dziedzic: CompuSafe, the investment was a little bit higher in the U.S. business on a year-over-year basis, as we’ve got a number of implementations in the second quarter. It grew a little bit in the first quarter. For the full year in the U.S., it won’t grow as much as it has in the past. As again, we’ve communicated, we’ve increased the expectations on profitability and returns for CompuSafe. It’s still a great product. We think it’s a great solution for our customers, and it’s really starting to take off in a number of countries outside the U.S. And there is significant growth prospects there. It’s still a small percent of the global installed base, but it’s growing faster outside the U.S. than it is in the U.S. 
Operator: [Operator Instructions] Our next question is from Michael Kim. 
Michael Kim: Just wanted to get a little more commentary on global services. How is that pace tracking, particularly in the Asia Pacific, and where you see some trends in diamond and jewelry? 
Thomas Schievelbein: Yes. This is Tom. It’s kind of a -- mixed bag wouldn’t be right. We’ve seen continued growth in global services. We do have some issues in the Far East, and I’ll let Joe detail those a little bit more. But kind of looking at it, storage is still very good for global services. So storage of precious metals is good, the import of gold, for instance, into China is off, and we’ve had some dislocations in the volume in India due to some taxes that have been added by the government there. But, Joe, why don’t you take a shot at some of the details? 
Joseph Dziedzic: So Tom characterized it dead-on, in that we continue to grow in global services globally. There have been a couple of market factors that have caused the volume and the movement -- global movement of diamond and jewelry and gold in particular to slow down. Both as China has tried to diversify their investment holdings, gold imports have decreased. India imposed some taxes on both precious metal imports and diamond imports, that’s caused a decline in the overall volume of imports into India. And so there is -- there was less movement in the first quarter into those markets than in the past, which, given our strong position globally in global services, that had an impact on us.
 And then there were some issues in Israel in the banking industry that caused the diamond and jewelry business to be much lower in the first quarter the overall market. And obviously, given our strong position in global services, D&J, they impacted us. Overall, our position continues to be the same and we see great growth prospects in the business, particularly in Latin America. And then as the market issues abate, then the growth will rebound in those specific places in the first quarter. 
Michael Kim: Okay. Great. And then, Joe, just turning to the guidance on segment operating margins. If we take the 7% overall and the low-end for North America, that does seem to imply that international segment operating margin sort of mid-7s about a point lower than where you guys have been tracking. What’s driving some of that contraction in the operating margins for international? What are you assuming happens to the balance of the year? 
Thomas Schievelbein: Go ahead, Joe. 
Joseph Dziedzic: The first quarter at 7.2% comparing to our guidance of about 7%, when you look at the international market, the second quarter is traditionally our slowest and weakest quarter. We have wage negotiations that occur in the second quarter. That has an impact, because those kick in largely at one time during the year all at once, and the price increases with customers happens in a more staggered fashion. We try to line those up as best as we can. So that will have an impact on second quarter margins as it has historically.
 The timing and pace of our investments in Mexico that will impact earnings could continue to pressure earnings. Recognizing the underlying improvement Mexico fell through in the first quarter, we do not expect that to happen in the rest of the year, because we’re making the necessary investments to fix the productivity and service issues in that business. So when we look at getting in to the low end of 4.5% to 5.5% for North America and we look at the strong performance in the first quarter for Latin America and what we’re planning for the rest of the year, about 7% is right within the range. 
Michael Kim: And that seems to imply for the second half international segment operating margin should be very similar to what we saw in the first quarter then? 
Joseph Dziedzic: I think that math would yield you about 7%, yes. 
Michael Kim: Pretty close. Okay. And then just on a more of a strategic question. A lot of the major banks now are using other carriers, partly I think due to price. If this recovery continued to remain slow and the banks remain focused on their bottom line, is it your expectation that will push out any market share recoveries or regains that you guys are hoping or planning for with some of these major banks? 
Thomas Schievelbein: I assume you’re talking about in the U.S. 
Michael Kim: Correct. Yes. 
Thomas Schievelbein: I think we said, we’re not planning on any recovery in the market. So we are making the changes we need to make to get to those profit margins, assuming that the banks do not change their operations from what we’ve seen here in the last 2 to 3 years. So if indeed that does change, that will provide us tailwind and let us get to the 6% to 7% earlier than we otherwise would. 
Michael Kim: And how do you feel about your market share and some of the shifts that we’ve seen over the last couple of years, especially in North America? 
Thomas Schievelbein: Certainly, I wish we were - we hadn’t seen some of the shifts, obviously, but we are working hard to maintain the profitability and to grow that profitability, and so we’re bullish that we will accomplish that. 
Operator: [Operator Instructions] The Q&A has now concluded. We thank you for your participation. You may now disconnect your lines at this time.